Operator: Greetings and welcome to the Electrovaya's First Quarter 2022 Financial Results and Analyst Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Richard Halka, Executive Vice President and Chief Financial Officer. Thank you. You may begin.
Richard Halka: Thank you, Operator. Good morning, everyone. And thank you for joining us on today's conference call to discuss Electrovaya's Q1 Fiscal 2022 Financial Results. Today's call is being hosted by Dr. Sankar Das Gupta, CEO of Electrovaya, and myself, Richard Halka, Executive Vice President and CFO. On February 14, 2022, Electrovaya issued a press release concerning its business highlights and financial results for the three-month period ended December 31st, 2021. If you would like to copy of the release, you can access it on our website. If you want to view our financial statements and MD&A or our annual information form, you can access those documents on the SEDAR website at www.S-E-D-A-R.com. As with all previous calls, our comments today are subject to the normal provisions relating to forward-looking information. We'll provide information relating to our views regarding trends in our markets, including their size, potential for growth, and our competitive position in our target markets.  Although we believe that the expectations reflected in such forward-looking statements are reasonable, such statements involve risks and uncertainties and actual results may differ materially from those expressed or implied in such statements. Additional information about factors that could cause actual results to differ materially from expectations, and about material factors or assumptions applied at making forward-looking statements, may be found in the company's press release announcing the Q1 fiscal 2022 results, and the most recent annual information form, and management discussion and analysis, under risks and uncertainties. As well as in other public disclosure documents filed with Canadian Securities Regulatory Authorities. Also, please note that all numbers discussed on this call are in U.S. dollars, unless otherwise noted. And now, I'd like to turn the call over to Dr. Sankar Das Gupta. Sankar.
Sankar Das Gupta: Thank you, Richard. And good morning, everyone. I would like to start this morning by taking a minute to review our Infinity battery line, with its exceedingly good safety and longevity, is the product going into the electric forklifts and later into electric buses and other applications. Our target for Fiscal Year 2022 is to have this year our breakout year. Target revenues of about US $27 million and EBITDA breakeven are positive. This target revenue would be more than double our revenues of $11.6 million in fiscal year 2021, 130% annual year-to-year growth over fiscal 2021. In our press release last night, we are reiterating our target barring, of course, unforeseen circumstances. Our Q1 numbers were low because some of our major users today have the majority of their income in the December quarter. Hence, their off-take in the last quarter was nil. That demand comes through in the nine months from January to September. For example, this year, our major user -- one of our major users has already given us 6 million purchase orders to be delivered in this quarter ending March 31, 2022.  And we expect more in the next two quarters. Our OEM channel partner, Raymond Corp, premium electric brand of the Toyota Group, did sign a strategic supply agreement. And in that agreement, they have a minimum purchase plan, which is triggered on 1st January, 2022 that has started last month. We feel they will exceed their minimum purchase needs. Raymond Toyota as you know was named the number 1 forklift manufacturer in the world for 2021 with about $13.8 billion in revenue. Raymond is also the largest manufacturer of electric lift trucks in North America. Going forward, we have strong commitments from our OEM partners, and key end user customers to reach our targeted revenue for the current fiscal year. We are now operating in over 80 locations, powering electric materials, handling trucks, and we feel, this conservative market is now emerging. Our battery cycle life and safety are critical differentiators for us. They are game changers and fundamental to our current and future success. I will now turn the call over to Richard to review our fiscal 2021 and fourth quarter results in greater details -- first quarter results.
Richard Halka: Thank you, Sankar. Revenue for Q1 fiscal 2022 was $1.3 million compared to $2.6 million in the fiscal first quarter ended December 31st, 2020. Electrovaya has not historically experienced seasonality in its business. In recent periods, however, as Sankar pointed out, revenue has been relatively low in the fiscal first quarter, reflecting the preference of certain customers to differ product delivery past the holiday season in order to minimize disruptions at high volume distribution centers during peak periods. We remain confident of reaching our target of $27 million for fiscal 2022 and positive EBITDA, and have maintained our guidance. We expect the revenue to increase quarter-over-quarter as we move through the year, barring unforeseen circumstances. Global supply chain challenges continue to impact the company's supply chain for many of its vendors. This put strain on the company's ability to meet delivery targets and results in associated cost increase. Steps have been taken to mitigate supply chain interruptions, such as holding additional safety stocks, qualifying multiple vendors, and increased emphasis on onshore supply.  Management is moderating -- monitoring the situation closely and taking corrective action to minimize disruptions as much as possible. The impact of supply chain pressures was evidenced by the gross margin in Q1 fiscal 2022 being 29% as compared to 30% for Q1 fiscal 2021. The decrease in gross margin is due to a number of factors, including product mix, material cost inflation, increased shipping and logistics costs, and foreign exchange movement. Our objective is to maintain gross margin in the range of 30% to 35%. The company ended Q1 2022 fiscal quarter on December 31st 2021 with $400,000 of cash and had drawn $3.1 million of working capital facility, with a maximum availability of $5.5 million, leaving a further $2.4 million available for drawing. The company believes this available liquidity of $2.8 million, plus $1.4 million of accounts receivable and $4.9 million of inventory is adequate working capitals for the operating activities at the anticipated sales levels for the 12 months ended September 30th, 2022.  We have, however, filed a final base shelf prospectus, which is valid for a 25 month-period, during which time the company may increase equity or may issue equity or debt securities in an aggregate of up to $100 million. We have nothing planned at this stage regarding that shelf, but we will monitor the situation of capital markets and are focused on creating shareholder value. I'll now turn the call back to Sankar to wrap up.
Sankar Das Gupta: Thank you, Richard. As we have said, we are bullish about our Infinity battery product line, which is commercial today, and we expect the 130% increase in revenues over last year. Our focus is on electric forklifts. Our continuing research through our research division, Electrovaya labs, into next-generation sales and batteries are ongoing in the areas of solid-state sales and clean electrode production. We are seeing good cycle life in our solid-state battery, and we'll report soon on the progress and performance of this patented approach. The company continues to work in the e-bus market and is developing relationships with OEM bus makers, similarly, in the automated robotic vehicles. The company is making progress with its capital markets initiatives, including receipt of the shells, management and the Board of Directors always monitors the capital markets before any decisions are made regarding the next steps including any potential U.S. listing. As Richard said, on the finance and working capital side, Electrovaya has an excellent lender who supports the company with working capital of about Canadian $7 million, a promissory note of about Canadian $6 million and other financial support such as purchase order financing as needed. This concludes our remarks this morning. Richard and I would now be pleased to hold a question-and-answer session. Operator, please open the line for questions.
Operator: Thank you so much. We will now be conducting a question-and-answer session. [Operator Instruction] Our first questions comes from the line of Jeffrey Campbell with Alliance Global. Please proceed with your questions.
Jeffrey Campbell: Good morning, gentlemen. Let's start with the first quarter '22 results. First, was the result, the revenue result consistent with your expectations for seasonality or was it a little lighter than expected?
Richard Halka: I would say it's consistent in terms of seasonality, but the impact of the e-commerce in that quarter was more than -- in other words, that they wouldn't take any orders that quarter, had a bit more of an impact than it did on previous first quarters. So, it was in line with expectations. It was lighter than where we'd like it to be. But the good news is, it's really just a shift from the first quarter now into the second.
Jeffrey Campbell: Okay. Thanks. And to that point, if we think of the $27 million guidance that you've reiterated on percentage basis, the first quarter results was only about 4.6% of that guidance figure, which suggests there's going to be a lot of catching up for the rest of fiscal year 2022. Can you provide us some sense of how that catch-up arch will progress over the remainder of the fiscal year?
Richard Halka: Jeffrey, I don't think I want to go into any more detail than what I said as we're anticipating quarter-on-quarter growth. Obviously, it is going to be some hockey stick growth here which we anticipate the second quarter being significantly higher than the first, and as we move through the year to add growth on each quarter. Overall, we're comfortable at the $27 million maintaining that guidance, breaking it down by quarter though is difficult to do. As we have -- as I've mentioned, shifting from one quarter to the next quarter depending on delivery commitments, etc.
Sankar Das Gupta: And Jeffrey, as we had announced, the folks are placing orders of $6 million, which was in early January, and they expect the products to be delivered by before the end of March, so we see good growth. And so, the December quarter was not as unexpected.
Jeffrey Campbell: No, that was helpful. Thank you. And finally, on the gross margin. If it continues to be challenging for the reasons noted, will any of these costs be passed on to customers?
Richard Halka: We do look at things such as that. For example, we increased our density, which actually takes the -- for the same output, you've actually reduced your material costs. So, we're looking at measures like that. We're constantly innovating our products. On the supply side, as I mentioned, we have multiple vendors. We've on-shored some activities and actually we managed to get some cost reductions there. I think it is challenging, but I think we're rising to the occasion. We meet the challenges as they arise.
Sankar Das Gupta: We had a 7% increase in energy density, so it reduces all are component costs, and we are seeing certain components like steel and so on coming down in prices.
Jeffrey Campbell: Okay. That's helpful. Thank you. I want to ask about Vicinity Motors. I know it's early days, but just wondered if the work has encountered any roadblocks or is it progressing about as expected?
Sankar Das Gupta: It's progressing as expected. A lot of the electric bus programs will be guided by government policies and thoughts. So, we are -- we watch what's happening in both Washington, DC and Ottawa on these policies.
Jeffrey Campbell: Did I hear correctly in your prepared remarks, that you're in talks with other bus manufacturers besides Vicinity?
Sankar Das Gupta: We are. Again Jeff, we are addressable market for the electric forklifts is very large. It's probably way larger than the bus and we've got a very focused approach there. So, our focus is very strongly on the electric forklift markets.
Jeffrey Campbell: Okay. And then finally, referring to the shelf that Richard mentioned in the prepared remarks, can you provide any color on how those funds might be allocated at some point in the future, and specifically, I'm wondering if it's manufacturing capability might be expanded outside of Canada at some point?
Richard Halka: I think we would like to keep all our options on the table. It's certainly something we're considering. There is -- just to add one thing that there's a certain credibility it adds to have that shelf available there that you do have the possibility if you have a large transaction to finance it. It was not an easy process to get through the shelf, etc. But I think we've gotten over that bar, and we're pleased to have it in place, but we have no immediate plans for it.
Jeffrey Campbell: Okay. Great. Thanks very much for your time and we look forward to further wins in the material handling business.
Richard Halka: Thank you very much, Jeffrey.
Operator: Thank you. Our next questions come from the line of Shawn Severson with Water Tower Research. Please proceed with your question.
Shawn Severson: Thank you. Good morning, gentlemen. My question's around the $27 million for the year. How much of that is in hand, let's say, or in known orders. I'm trying to understand, let's call it, turns business, right? That comes in a shorter period of time but is in that $27 million let's call it backlog. And I was trying to understand if that is a backlog of confirmed order so -- to understand the variability of the $27 million.
Sankar Das Gupta: Shawn, in this -- in the electric forklift business, so we have a clear sight on that $27 million. But in the electric forklift business, people putting the orders and they expect the product in the next eight weeks or 10 weeks. For example, the $6 million order position which we received in January is expected to be delivered in the next couple of weeks. People are -- but on the $27 million, we do have a good line of sight.
Richard Halka: Yeah. Morning, Shawn. And I would just add that we have very good visibility on that, it comes from a couple of sources. First, we're in discussions with the end users. They've indicated their volumes that they are looking to purchase through the year and anticipated deliveries. But as Sankar says, you don't see the PO till they're ready for it. But they've given us very clear indications and commitments that that's what they're going forward with. The other thing that I would add is that also as our distributor, Raymond, they're also in discussions with customers and they have indications of the volume of orders there, and as well, they release the orders to us when it's ready to go to the customers. But all-in-all, in the intelligence that we have, which is direct with customers and through Raymond, we have a high degree of confidence in that $27 million. I don't want to give you a specific dollar figure of what we have in hand because it does change quite rapidly.
Shawn Severson: Great. Thank you for the explanation. And the next question is on retrofit for Lithium-Ion Batteries. Give us the progress report and update there and maybe what you expect through this fiscal year.
Sankar Das Gupta: The $27 million, Shawn, includes both batteries for new electric lift trucks, as well as batteries for retrofits or upgrades to the lift trucks.
Shawn Severson: Okay, [Indiscernible]. I didn't know if that was all OEM orders, but that includes what you know about retrofit as well.
Sankar Das Gupta: Yeah, that's right. So, with the OEM, they -- we also received retrofit orders to the OEM as well.
Shawn Severson: Okay.
Sankar Das Gupta: It's always a mixed bag.
Shawn Severson: Okay. And then just lastly, I wanted to touch on solid-state batteries a bit, and think about it a little update there. And what should we be looking for remainder of your fiscal year, call this calendar year in terms of progress reports or milestones that could be coming from that effort?
Sankar Das Gupta: We are -- the cycle life of the solid-state battery is the most important thing. And the batteries are focused for electric passenger cars, and -- which needs certain cycle life. And we will update our cycle life data and progress hopefully soon in a separate press release. But so far, we are bullish on the progress of the work going on at Electrovaya labs.
Shawn Severson: Great. Thanks. I'll take the rest of my questions offline. Thank you.
Richard Halka: Thanks, Shawn.
Operator: Thank you. Our next questions come from the line of John Luca Tucci with Torrance Capital, please proceed with your questions.
John Luca Tucci: Hi, good morning, guys. Thanks for taking my question. It's been over 12 months now that the company has inked the supply agreement into Raymond. Can you speak to the nature that that agreement has evolved or how that connection has evolved and to the degree of transparency, how has that improved today versus 12 months ago?
Sankar Das Gupta: You know, look at -- Raymond is a large company, so this is a new business venture for them. And they always felt they needed to develop all their infrastructures, whether it's website, building up their sales organization, etc. But it would take a few months, and which is why they’re -- the purchase agreements really were starting on 1st January, 2022, and that -- so I think that progress is going well. We are now -- just on the products side, we are very well integrated with their vehicle, both digitally, mechanically, electronically, and electrically. And their sales team is, I think, doing well, and we're very pleased with it.
Richard Halka: I think that out of the gates, there was a learning curve to go up, which both organizations went through in 2021. And I think we're feeling very, very strong about the relationship right now. I can tell you it's operating smoothly and we have much better transparency into the orders in the pipeline there.
John Luca Tucci: That's great good color. Thank you, and on your guidance of 27 for this fiscal, can you like you know, split that out between e-bus -- like does the company expect some e-bus or is that the end of this year? Or like is it principally on the forklift side? And I guess how's the outlook on the e-bus for 2023?
Richard Halka: John Luca, I think the potential here, the addressable market and the exciting opportunities that we have in the Material Handling sector. We are laser-focused on that. That is our growth engine in 2022. That is where we're very clearly focused. E-bus, we'll see how that develops. But we don't see that as an immediate addressable market as we do with forklifts. We have an opportunity sitting there right now working with the largest OEM in the industry. We built some really good relationships and I think this is a year that we really leverage all that. And we need to keep laser-focus on where our value is created.
John Luca Tucci: That's excellent color. Thank you. And on the solid state, you did talk about it in your prepared comments about potentially upcoming -- like where are the next milestones for that division and that I guess labs piece of the business to accomplish.
Sankar Das Gupta: The big milestone is the cycle life for -- and this solid-state battery, the energy density is very high and it's -- or the projected energy density is high. So, it's really perfect for the electric passenger cars, which needs low cost, low initial costs. And typically, these passenger cars, electric passenger cars, need certain cycle life. And this has been difficult to meet with other solid-state cells and batteries. And we will give our progress, and the progress so far is good, so we will give it more fulsome information on the progress shortly as the result comes out.
John Luca Tucci: Excellent. Thanks guys. And I look forward to this year.
Richard Halka: Thank you very much, John Luca. You have a great day.
John Luca Tucci: Thanks.
Operator: Thank you. That is all now we have the questions today. I would now like to turn the call back over to Dr. Shankar Das Gupta for any closing comments.
Sankar Das Gupta: That concludes our call. Thank you for listening. This morning, we look forward to speaking with you again after we report our fiscal second quarter results. Have a wonderful day.
Richard Halka: Thank you very much.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.